Operator: Welcome to the Randstad Second Quarter 2020 Results. My name is Rosie, and I’ll be your coordinator for today’s event. Please note this conference is being recorded. [Operator Instructions] I will now hand you over to Jacques van den Broek to begin today’s conference. Thank you.
Jacques van den Broek: Yes. Thank you, Rosie. Good morning, everybody. Great to talk to you again. I think the last time we had a talk, we talked a bit about not having an AGM and that sort of thing. So when you would have asked us early April and you would have said, "Well, this is going to be the quarter," we still maybe wouldn’t be happy. But in early April, we would have signed up for this one because the two main questions that we were dealing with or have been dealing with is how deep are we going to go and how long is it going to last. Well, how deep? And of course, you never know, might still be a second wave or whatever, but at least how deep was April. And now of course, it’s all about how long. So when we presented our Q1 results three months ago, our prime focus was, of course, of understanding and grasping this highly uncertain situation. So we really went into survival mode. We had weekly calls with our business leaders, geographically organized. So of course, Asia, where we had most of the learnings, then into Europe and then into LatAm and North America, really learning from each other. And funny enough, although, on the one hand, we’re not traveling, as you all know and you all probably are not traveling, we’ve never felt so connected to the field. So we had these calls when we started in Asia, and we ended in Latin America. So the closeness of Randstad as a company. And of course, we were able to pivot within three days to digital, has really helped. Of course and still is, by the way, our key priority remains the health and safety of our employees, our candidates, our clients and the other stakeholders. So I cannot tell you how proud I am of all the Randstad colleagues with their commitment and education throughout this. We earlier – it felt like this quarter had like four months. But our results, we think – and of course, still tough result, our operational agility of our management teams. And as I mentioned this before, many of our management teams went through 2009. So – and I can tell you that helps a lot. They knew what was happening in Spain, in Italy, in Germany. So that has really helped us to navigate this crisis. The tone of voice in these weekly calls gradually changed throughout the quarters from survival to what is all this towards a more opportunity-driven mindset, if I can call it like that. We created a ‘safely back to work alliance’ first with Adecco and Manpower, and then taken over by the WEC, the World Employment Confederation, our global sector body. And we worked with – in 26 markets throughout the globe, starting in 10, within 26 markets, on getting people safely back to work, updating health and safety protocols and creating sort of country coalitions, of course, with the governments, with employers and employees. And that, of course, meant that, in many markets, we had our eyes very close to what was happening. And we saw things coming. And it also created quite a lot of material and conversation items to reach out to our clients and prospects in many markets, talking to them about the situation, if they needed any update on the protocols and then, of course, slightly going into, "Okay. So what is your outlook for the rest of the year?" For us, a case study is our Spanish business. They had extensive client surveys. So you should think 17,000, 18,000 clients really getting a planning for the rest of the year. And of course, our clients also don’t know that, but at least you have a starting point to discuss, and you know what goes on. What’s interesting is that you know our strategy, and our strategy might have been and, by the way, still is in the longer term around candidate scarcity, but we still use the same tooling in a different market. So we have our data-driven sales. So before COVID, we went out to clients and we said, "Okay. So this was what the market looks like. This is how tough it is going to be to find someone." But yes, now it’s all about, "Why don’t you update your profiles? And on the push of a button, we’ll get your people within an hour." On a candidate part, it was all about engagement. "Let us know which job you’re in. Let us know if you want to change jobs." Well now, candidates are more uncertain. So now it is, "Update your profile so we can match you quickly. Let’s talk about re-skilling because the sector you’re in is going to be on a serious pressure." So same strategy, same digital support, but a different messaging. As a result of all this, we have been able to already, from the trough in April, bring back close to 90 – between 90,000 to 100,000 people back to work, which is great. And fortunately, also in the last few weeks, in July, we do see a gradual uplift. Still negative, of course, but we know where we’re coming from. So I mentioned this. What is a big theme is the immediate need for re-skilling, career coaching and outplacement. And you’ll see it in our business, RiseSmart. But let me talk a bit about sectors. So what has happened in our market? So sort of stable sectors were government, sometimes even growing a bit of demand. Food, retail also demand in the beginning of the quarter, easing a bit in the quarter. And also our IT business, wherever we have an IT business, certainly our American one, the biggest one we have in the group, relatively stable at a minus 3.5% negative growth. So because people could continue to work from home. Growth sectors, very much the contact centers. Our people went for online stuff, demands on servicing, health care information. Anything online boomed. Health care, of course. Sectors that were severely down: airlines, travel, hospitality and events, retail and automotive. And of these sectors, hospitality and events, retail, they will bounce back if this is very much COVID-related, we think. But airlines and travel and automotive are sectors that seriously need to reinvent itself. Back to re-skilling. Last year, as a company, we re-skilled 300,000 people. And we think, this year, it will be more. We have two great examples already. The first one is the Boost program in the Netherlands, reaching out to 14,000 people that have worked for us and currently aren’t or throughout the quarter weren’t, offered half of them, more than half of them, a training or a skilling. So – and next to that, our pledge in the U.S. to train, retrain, re-skill 40,000 people. We think we need to create a public-private coalition here because we still will see in Europe many people, we think, going into unemployment. So back to the second quarter, training conditions, as I said, low point in April. And then, of course, the lockdown, certainly in Europe, were more severe. Since then, revenue decline started to ease into May. Henry will share a bit more on that. But visibility is limited. We have some businesses like the Belgian business that have quite a summer peak. Global average is like 4%. That might not happen, might happen less, tough to say. But as I said, employees working are still improving in the last weeks. So that’s good. We take it day by day. But then again, September will probably really show the trend for the rest of the year. A big difference – I mentioned 2009. Big difference was government support. So government support, we’re very grateful for that because we, as a company, could also hold on to our people. We have roughly 38,000 people that work at Randstad as a consultant or as a team lead or as a recruiter, and now we have like 33,000 active. So that means that people are at home in some shape or form, depending on their situation in the country. So it’s very much, for us, the theme to bring people back. So that’s why we embarked upon an aggressive sales campaign. We call it new ways, where we use our ability, our content, but also our digital means to connect to clients and prospects. Based on the Spanish example, we have many more to reach out and take as many jobs as possible and go for market outperformance, which we think we already did in quite a few markets. So again, talking about portfolio, we did it many times with Works Again, our resilient portfolio, Rest of the world, Japan, but also, through activity, approached only minus 12% in Q2, has paid off again. Our business model, also strong free cash flow. Again, Henry will share a bit more on that, but you know we have this countercyclical effect, and it works again. So we think this all further solidifies our strong liquidity and solvency position, and we think it’s necessary in still a high uncertainty period. So let’s look at the markets. North America, yes, mixed there. So the Staffing business went down 23%, so comparable to some markets in Europe. But U.S. Profs, minus 9%. So our finance business didn’t do so good, but soon the IT business did very good. When you talk about situation in the country, so at some point, in the U.S., we had to deal with 80 all different regulations on safely back to work. So quite complicated, but a big compliment for our team, also, of course, on safeguarding EBITDA margin, which we think is quite impressive given the circumstances. And also the fact that, compared to Europe, there’s almost no government support in this business. So then our French business, well, we saw a data point somewhere end of March, beginning of April, which was minus 7.0 for the French market. That really gave us a massive scare. Well, it didn’t turn out that bad, but still France was, at some point, the worst hit in Europe, also because of the role of the unions that immediately took out people when maybe that was not necessary. Anyway, we have a new manager there, Frank Ribuot. Frank came into Paris on basically the last plane out of Australia. And can you imagine taking over new business, which is a huge business with a few thousand people, never had met anyone, fully from home, only getting out to do grocery shopping. But he took that unfortunately. He’s now with his team, made a few changes, but we’re very happy with where he is and that he’s there. He also takes up the leadership of OC. Yes, minus 41%. Well, we think that’s better than market. Can you imagine minus 41% being better than market? But anyway, so all of the circumstances quite good. Then the OC business, which Frank is also going to be responsible for, very sector hit. So the French business of OC works with aeronautics, airlines and automotive. It all starts with an A, and it’s all not good currently. The OC business in Germany and Belgium is very good. So pretty stable, pretty unhurt, different sectors. But certainly, the French business had some issues there. And the OC business was loss-making. The French Randstad business was breakeven. The Netherlands, again, very diversified portfolio, also very good on the EBITDA margin. You should take into account for Germany and also the Netherlands that the business was not great to begin with. There, we already had quite severe negative growth pre-COVID, certainly driven by automotive and industrial sectors. But again, a picture you’ll see more Europe, our Professionals label doing relatively well. And also, within Europe, BMC, the company working with governments in the social domain, who held out very well throughout this crisis. We talked a lot about government support. The Dutch government support, let me share some numbers. We had, overall, in the Netherlands, 26,000 people on government support. At the lowest point, 18,000 and 11,000 a few weeks ago. Of those 26,000, 2/3 are back. Of those 2/3 – of the ones not back, 7,500 are young people with very small contracts. Just 6% of the people not working are 25 years and older and working more than 25 hours a week. So this system has really worked to keep people motivated and also to work with them and get them back to work quickly. Germany to the Netherlands, similar, automotive already weak. You know that already. In 2018, we took out people. So that is still weak, although sequentially, the drop is less than you see in other markets. Belgium, now still good earnings, diversified portfolio. In Belgium, we have a very specific business, 6,000 cleaning ladies who immediately had to stop. So that was quite a drop specific for Belgium. Italy, one of the most hit countries, earliest hit. So when we talk about management teams, now given everybody a compliment, certainly, also the Italian management team, in the midst of the deepest crisis they saw, they were optimistic, they still kept their head high. And we see a great return already in terms of employees at work throughout the quarter and a pretty good EBITDA margin development. So the Spanish team. So sometimes COVID hit really close to home. So our Spanish MD had COVID himself and continued to run the business. So that is impressive in itself. But certainly, in Italy and Spain, we knew people, we knew people that had COVID. We had people that died, family members. So it got really, really close. But within that, they stayed very resilient and there is still a profit. In Spain, the government support system changed throughout the quarter. So almost a moving target, but anyway, so there is a little bit of still wait and see in the Spanish result. Rest of Europe, of course, UK has a big education business that schools were closed. That didn’t help. Idle time in Sweden, those are elements to mention in our other European markets. Rest of the world, yes, is becoming – well, for me, definitely not monotonous, the weakest, to mention this with you, a big star. Our Japanese business, very low negative growth, great result, very happy with that performance. But you see Australia and New Zealand, also minus 6%. And India, 9% growth, record profit. And of course, I ask myself why. And I know Paul Dupuis, our CEO in India, has just wrote a management book. So it’s called the Rule of Five. You can buy it at Amazon. And I’m honestly not too much into management books. But given the results of India, I can highly recommend this book. But on a serious note, big compliment for our Indian business because, as a country, of course, they’re also now seriously hit through COVID. It started slow, but it’s unfortunately heating up. Also on Latin America business, many of them actually made budget. They grew. So again, it helps to be all across the globe. Our global businesses Monster, yes, this is about job ads. So that went sequentially down, but financially still a pretty stable picture. Our Sourceright business, certainly, our RPO business, again, is perm, was hit less than the regular perm number, but still was hit. And also, our MSP business in some markets, just less demand. Many of these businesses, by the way, Monster, Sourceright there in Asia and the U.S. also no government support in terms of safeguarding result. For our Sourceright business, we do have a very strong client pipeline, and that helps. And then finally, RiseSmart, our career counseling, career change, re-skilling business, up 29% and more to come. And we did a small acquisition so that we’re now in the German market also. So again, quite a quarter, but happy that we are where we are. And on that note, Henry, can you share something on the numbers?
Henry Schirmer: Absolutely. Good morning, everybody, and thanks, Jacques. So let me now dive into quarter two results in a bit more detail. And as mentioned by Jacques, our Q2 numbers demonstrate the strong operational agility of our highly experienced management teams and while underpinning the resilience of our diversified portfolio and free cash flow generation. Organic revenue growth for quarter two was minus 25%, with momentum clearly improving during the quarter. And this, of course, reflects the gradual relaxation of country lockdowns in most of our regions, and our relentless drive and focus to bring our talents back to work is showing up in the numbers already. Gross margin in the period was down 130 basis points year-over-year, broadly in line with our expectations, due to significant adverse impacts related to COVID-19 and slowing firm. I will get back to you on that – on this on the next page. We also further managed operational expenses down in the quarter to €763 million. So 17% down organically year-over-year, achieving a recovery ratio of 42%. And this is slightly ahead of our guidance of 30% to 40% while still investing in our digital strategy and selective growth areas. EBITA came in at €67 million with 1.5% margin. And obviously, there’s a significant decline year-over-year. But given the magnitude of this crisis, it reinforces our confidence to tap into the flexibility of our cost base while supporting the business for growth. And on the next line, integration and one-off costs were €33 million. This relates to restructurings in several countries adapting to new realities. Amortization and impairment expenses were €103 million, which includes a goodwill impairment of €86 million related to the UK. And let me now take you to the next page where I talk about the gross margin a little more. That is now Page 14. So as you can see on the left, the temp margin was down 60 basis points year-over-year and is already flat in the second half of March. COVID-19 had quite a significant adverse impact on our temp margin amongst others, due to an expansion of idle time in several countries and agreements with clients to jointly protect employment. And the bar in the middle shows a decline of 20 basis points as perm fell by 47% in quarter two. So this is purely a mix effect. The bar on the right represents HR solutions, which has a neutral impact on gross margin in this quarter. Our gross margin path going forward remains difficult to predict in the short term, given many moving parts such as top line developments, easing of furlough schemes and perm trends, et cetera. And with that, let me go to Page 15 and talk about OpEx. So OpEx. As you can imagine, the rapid decline of revenue in quarter two required an all-hands-on-deck attitude with respect to OpEx steering. And sequentially, we reported organic OpEx down by €121 million and the year-on-year decline of 17%. Those numbers alone can’t express the entrepreneurial attitude of all our leadership teams around the globe, which made the job of the CFO quite an easy one. As you would expect in a storm like that, we took instant measures, focused our spending on what made the boat go faster or more resilient, of course, instigating an all-out travel ban and hiring freeze and also suspended executive bonuses over 2020. As you would expect, we also accelerated our efforts looking for ways to further unlock the power of One Randstad. And in that context, we also benefited from structural cost measures taken as part of our cost optimization program. As communicated during our quarter one results, our cost base was also supported by implemented protection schemes in the order of €45 million. Overall, it was very good to see how the company came together virtually, of course, to lean into the new reality of the market without hesitation, knowing what needs to be done to protect the company while serving our customers and talents in these testing times. And please rely on us as we continue to balance the short term and the long term, seeking to protect employment and safeguard profitability levels adequate to steer the business in a healthy fashion through the next period. Now let me talk on Page 16 about our strong balance sheet and our working capital movement. So in quarter two, the company generated a free cash flow of €530 million, about €500 million more than last year in quarter two. Whilst EBITA was significantly lower year-over-year, we benefited favorably from positive working capital movement. The development of our receivables and the slowing growth environment provides a very significant liquidity protection evidenced already in previous downturns. The resulting resilience of our free cash flow generation through the cycle is an important asset of our industry. Please note that we also enjoyed some support from governments, allowing us to postpone payments in several countries. The total positive effect on our working capital was around €145 million in quarter two and will gradually reverse in the coming quarters. Income taxes paid turned into receipt in quarter two, which is mainly caused by a reversal of payments in quarter one this year. This is fully in line with our previous communication. Days sales outstanding came in 0.9 days lower than the last year on a 12-month moving average. And so far, there’s no material extension in payment terms visible. However, as stated before, we have further tightened our governance around credit risk management and deployed additional resources to support the cash collection process. At the end of quarter two, we report a leverage ratio of 0.3 pre-IFRS 16, which excludes our CICE receivable of €368 million. And our cash position amounted to €327 million. We have drawn €200 million from our revolving credit facility, and €0.65 billion is undrawn at this stage. In summary, the excellent amount of free cash flow generated in quarter two helped to further bolstering our balance sheet and is providing loads of confidence to the business to weather the storm from a position of strength. That already gets me to my last chart, the conclusion and outlook chart on Slide 17. So as stated before, the revenue declines in the beginning of quarter two significantly eased throughout the quarter in most of our markets, and we exited the quarter at a sales decline of 21% year-over-year in June and observed further positive momentum in the first weeks of July. At the same time, visibility remains very limited with ongoing high macroeconomic uncertainty and some recent signs of regional lockdowns again. Please be aware that quarter three normally has some seasonal tailwind given more gig-based events and holiday work, so tougher comps to beat. And as stated, we continue to see direct link between our top line developments and the intensity of the lockdown by geography. However, we put our utmost efforts to bring as many talents back to work as possible, utilizing the many new growth opportunities presenting itself in the marketplace. And with every crisis creating opportunities, as such, we are establishing new benchmarks for the frontline sales productivity, utilizing best-in-class digital tools and data-driven demand projections for optimized sales impact. Our golden rule to aim for 50% recovery and downward cycles has served us well in the past and will also be applied in current circumstances. And for quarter three, we expect a recovery ratio of somewhere between 30% to 40%, reflecting more aggressive investments in growth opportunities, partially offset by ongoing agile cost management. The tailwind from furlough schemes is expected to abate in quarter three. Well, that concludes our prepared remarks, and we’re now happy to take your questions. Rosie, back to you.
Operator: [Operator Instructions] And our first question comes from the line of Paul Sullivan from Barclays. Please go ahead.
Paul Sullivan: Just a couple for me. Firstly, I mean, is there any reason why the recovery ratio should be lower in the third quarter than the second quarter and whether the unwind of various furlough schemes that you’ve benefited from will represent a margin headwind into the coming quarter? And then just tied to that, is there anything in the Dutch schemes that prevents a return to dividends and cash returns next year? And what is your thinking with the cash that is now clearly building up, especially if you adjust for the CICE receivable? And then just finally, in terms of the furlough schemes more generally and the rate of improvement into the summer and beyond, is there a sense that these furlough schemes potentially distort the recovery going forward?
Henry Schirmer: Right. Let me maybe take the first one. Thanks for the question. So actually, as far as the recovery ratio is concerned in quarter three, we definitely see some unwinding of furlough schemes. We’ve mentioned the number of €45 million, which helped us bring flexibility in our numbers, but we also want to definitely drive the company for sales. So at this point in time, you will understand, we are not mentioning the company for maximizing profit, but really bring as many talents back to work as possible. When it comes to dividend payments, please allow us to really concentrate the next quarters to go through that crisis where, if you ask me, we’re still in the middle of it, and it’s far too early to declare victory. So we’ve really just concentrated in focusing on the operation of the company, bringing as many people back into work, grow as fast as we possibly can. And then the normal natural point to talk dividends would be after quarter four again.
Jacques van den Broek: Yes. Paul, on the Dutch scheme, well, there was a scheme for the first three months and then there was a second scheme. The first scheme had no drawbacks on anything you couldn’t do. The second one had, but we didn’t apply for the second one because you need to have, for the quarter, a minus 20% of revenue. And that might not happen, which, of course, is good news. So we didn’t apply for that scheme. So it’s irrelevant what kind of tools are those in that scheme for us. Your other question was interesting in how far government schemes distort recovery. I don’t know that. What it does give people, maybe a full sense of certainty or the lack of a sense of urgency of what is happening in the market. So in our Dutch business, we approached 14,000 people, 1-4, offering them, because they’re not working currently, a re-skilling. And I would say just 1,000 take it, and then quite a big group is still waiting, and I don’t think you should be waiting. If you’re not working currently, you need to go to your employer, ask about his plans, if he knows them. And if you get a bit of an uncertain answer, you need to work on yourself and you need to look for where demand is going to be in the future or take time to skill yourself better or more.
Operator: The next question comes from the line of Anvesh Agrawal from Morgan Stanley. Please go ahead.
Anvesh Agrawal: Good morning, everyone. And thanks for your comments. I just got a few questions. First, in France, you touched that you have performed better than the market. Maybe if you can touch on the reasons there and sort of – is that purely driven like Internet-driven value management changes? Or have you done sort of anything different there to – out to the market? And second, just your thoughts on the U.S. We are seeing sort of some cities or regions going into the lockdown again. And what are you seeing there in terms of trend? And how we should think about that?
Jacques van den Broek: Yes. Well, I could, of course, give you a great story on France, but I think, at the moment, it is very much business-related. We’re not in automotive in France as opposed to Germany. We walked out of Renault two years ago. That sort of helps. Amazon is a big, big, big client in France. In France, we’re not with them. So I think it’s business mix. Having said that, Henry and also myself, we alluded at our, what we call, digital base sales effort. So the amount of sales calls and connects with clients is really, really heavy at the moment in every country. So we are optimistic about continuing to take market share, not just in France. In the U.S., yes, well, if you ask me to call the current situation in the U.S., very tough. There is this – well, clients are saying more and more like, yes, well, we have the COVID situation. Well, we’re not going to go into lockdown. So the economy is still moving. But yes, at the same time, of course, the infections are going up. So very tough situation in the U.S. to navigate for all of us, I think.
Henry Schirmer: Maybe one thing to add from my side on the U.S., obviously, we have a fantastic management team there who’ve acted brilliantly in the current phase. Also, we have a good – more resilient portfolio with a very strong professionals business, and you see that back in the numbers. So that’s definitely helping also.
Anvesh Agrawal: Maybe if I can just sneak in one more. I mean, your peer yesterday commented that, at the beginning of the quarter, their clients are talking about a V-shaped recovery, and now they’re more talking about U-shaped recovery going forward. What is your sense when you sort of talk to your clients? And how are they thinking of the recovery going forward?
Jacques van den Broek: Yes. I learned something from a predecessor. And they said, "If you don’t listen to your clients, you go bankrupt. But if you listen to your clients, you go bankrupt, too." So they don’t know. If you ask me, it’s definitely not a V-shape. Remember 2009, in many markets in Europe, less in the U.S., but in Europe, it took four, five years to get back to the penetration rates of 2008. So we’re in it for the long haul, and that’s why we’re investing so much in sales to take market share because this might be a while, let alone the health situation that makes it so tough to predict. So clients don’t know, which, of course, is also, for us, we do in flexibility that might also prove to be an asset going forward.
Operator: The next question comes from the line of Rory McKenzie from UBS. Please go ahead.
Rory McKenzie: It’s Rory here. Just two for me, please. Firstly, again, following up on North America and just on the near-term trends there. You and the peer are both seeing no improvement in the trends in June and July, unlike in the rest of the world. I appreciate it’s a very broad business. But could you say which states or even which sectors are still getting worse at the moment so we have a better picture of the range of things in North America? And then secondly, on the gross margin. The temp gross margin decline was probably a bit better than expected, definitely better than you were kind of, I guess, tracking towards at the end of Q1. So can you talk about what actions you’ve taken to mitigate that drag there? Thank you.
Jacques van den Broek: Yes. In the U.S., it’s – the sectors are the same as in Europe. So anything blue collar is relatively stable. And Henry already alluded to our IT business, which is quite stable, and we do expect that to go forward because it’s just less hit by people – by locations being closed, people that cannot perform their job. Of course, the U.S. is – Europe was very much like in many countries, total lockdown, closing down the economy and then opening up again. So therefore, not economically, but you see a quicker return to work. In U.S., it’s been gradual, up and down, open and close. As I said earlier, 88 all different systems within states, cities. So the mayor of Atlanta as a Democrat, he wants to open up the city. And then the Republican government bans that. So we need to follow that up. So within that, it’s very tough to recognize a trend. It’s definitely not getting worse, but it’s not like the steeper thing that we see in Europe, but that was very much lockdown-driven. So – but still, Henry said very happy with the performance in the U.S., how the team is hanging in there, the financial results. So yes, very happy.
Henry Schirmer: Yes. And as far as gross margin is concerned or temp margins are concerned, obviously, we are commercially very, very strong everywhere. So we always have top line and bottom line in our views. Having said that, in quarter two, there’s also a bit more idle time than what we would normally like to have also to support our talent and our clients in an optimal way. And we’ve seen it. We’ve put in our press statement. We’ve – by now, probably close to 100,000 jobs regained. So sometimes, it’s good to be with a client in there to, I don’t know, have a bit of a margin split, or as long it’s not structural and just kind of getting out through that period. So I think after quarter three, after quarter four, we probably have a better view on the margin picture.
Rory McKenzie: Okay. Maybe just one follow-up on that gross margin. I guess maybe the amount of idle time cost was probably a bit better than expected. Is that fair? Or do you think that it’s just indicative of where the markets and the clients are? Are there any actions you took to try and minimize that within the quarter we should be aware about?
Henry Schirmer: Yes, absolutely. I would say, I mean, we’ve stated that the temp margin came in, the gross margin in general is as expected. So we take hundreds of thousands of actions. Every little deal is being a judgment call, a trade-off to be made. And as I said, I’ve sit here really in all corners knowing that we are commercially very strong everywhere. We have good people on the ground. But I don’t – I can’t point out any silver bullet we’ve applied. It’s really being in every deal and ascending the numbers, and – but still being human forward, being with the client. And that’s what we do.
Operator: The next question comes from the line of Hans Pluijgers from Kepler Cheuvreux. Please go ahead.
Hans Pluijgers: A few questions from my side. Further back on the U.S. Is it very good performance compared to the market? You already mentioned the professional side and especially IT side. But are there any other businesses where you believe you outperformed the market? Or were there any specific big orders you get in the quarter? Secondly, on the seasonal effect in Q3, could you give maybe some indication what percentage of sales normally is your seasonal work in Q3? And lastly, on the CICE, still on the balance sheet. Your Q2 – your Q1 numbers, you indicated that you may be considering selling it. Could you give maybe an update on that?
Jacques van den Broek: Yes. I’ll take the first two. Yes, outperformance for the U.S., the sector body updated the market. They were first at minus 21% for the full year, now improved to a bit to minus 17%. On that note, well, I don’t know, but then we think we’re outperforming, but you don’t get like you see in the Netherlands and in other markets a month-by-month comparison. So that’s tough to see. It’s more later in the game. The seasonal effect is, yes, it’s always a bit of a thingy. But for example, in Belgium, you have this special thing where students can work at a very low rate. So the client doesn’t pay social premiums, and they are used a lot in the seasonal – in the summer peak. But of course, there’s a few things here. First of all, clients are not working at full throttle, so they might not replace all of their fixed workforce with holiday workers. Many of them also work in events work and some are pop festivals and all sorts of events, which will not take place. So on a global average, we’ve looked at it. But let’s say, it’s around a 4% sequential uplift, and that might not happen or happen less. So we have it a bit in the Dutch business. We have it not in the U.S. business. So it’s a bit different country by country, but we thought it was important to flag. So there’s always two things, right? The first is the sequential uptick throughout the year, where we have most people out work in Q3, then Q4, then Q2 and Q1. So you got a seasonal uptick and, of course, the uptick compared to last year. So, so far, so good in the early weeks of July, but this might prove tougher in the back end of the summer.
Henry Schirmer: Thanks for your question and answer regarding CICE. We – indeed, quarter two is free of any CICE impact, but I’m very pleased to tell you that we have received the 2016 part of the CICE, which we normally would have expected to come in, in November. That has already been received in quarter three. And for the remainder part, we, indeed, in the market, as we speak, to see whether we can monetize it. We can’t make any promises, but just confirm that we are actively working on it.
Operator: The next question comes from the line of Marc Zwartsenburg from ING. Please go ahead.
Marc Zwartsenburg: Yes. Good morning, everybody. A couple of questions from my side. First of all, maybe coming back immediately on the CICE thing. Henry, what will be your way of thinking about the €368 million? What if you can monetize it earlier, how would – yes, why would you want to do that? And how would that then impact your capital return policy? Would it then filter into that bucket or not? That’s my first question. And then maybe to dig a bit further into the gross margin trend. On the one hand, we see the Staffing margin being down, say, 60 basis points. But going forward, is there some impact still in there from maybe some government aid schemes that keep people at work while they’re actually not working, whether there’s a positive impact perhaps? And going forward, that might drop out a bit. On the other hand, idle time might come down a bit on a better revenue trends, but what is your way of – what is your view on the gross margin trend perhaps going into Q3 also and then the other bucket is, of course, the perm trend? But could you say anything on what you expect from the gross margin?
Henry Schirmer: Yes, absolutely. Yes, let me first reiterate what I said on CICE. Of course, we’ve taken the decision to strengthen our balance sheet as much as we could going into that crisis. And as I said, we’ve – we’re not declaring victory here. There is still, as far as I’m concerned, quite a long stony road for full recovery. So we definitely will take a more structural look about how to finance at the end of the year when we see how the year was running. I mentioned that €200 million of our RCF is being drawn. And then we have currently at USD 260 million loan maturing in quarter four. So let’s see how that plays in the mix. As far as Staffing margin is concerned, if you ask me, if anything, I think our numbers had been slightly negatively impacted by – in our gross margins. Idle time is an issue – or was an issue in quarter two. It will probably also be an issue going forward. And therefore, giving any guidance on quarter three is very, very problematic. There’s many moving parts. There’s a big moving revenue part, make that play furlough schemes unwinding. So please allow me to stay away from giving any guidance on gross margin.
Jacques van den Broek: Marc, I heard you say €368 million CICE. But as Henry said, we just received something. So you should think €280 million something.
Henry Schirmer: Yes. Yes, yes. Sure, sure
Marc Zwartsenburg: Yes, 95 or so was the short-term one. But maybe going back to the ratio. You will have on your OpEx line still some – maybe some drops out. What is your thinking along investments here if the market improves a little bit further and things stabilizing a bit more into the second half, which you then try to invest a bit further, and that’s why you’re a bit more cautious with recovery ratio in the 30%, 40% range? Is that the way you’re thinking?
Jacques van den Broek: Yes. So let me explain. So we have, in a way, reinvented our ABFS. So we’ve looked at what we can do with the current online tools. So instead of calling a client, going there physically, you can also do this online. And of course, we have different marketing support, way more online marketing support, sort of thematic waves around safely back to work, around online HR or our planning for the rest of the year about re-skilling. So we give that to our people. So we want them to do way more than they ever did before. It’s sort of a global program with a global basis and then local flavor. And so for example, we’re in Spain, and we say, "Okay. We’re going to bring back 35 people." Those 35 people are going to sell like hell. And if we see our conversion in the funnel improving, we can bring back more people. So that is how granular we’re doing that. In some businesses, for example, our U.S. IT business, that’s a very profitable business doing already quite well, with still a lot of room to grow in the market. There, we’re even hiring people for the rest of the year. But the rest is bringing back people as much as we can, driven on the commercial input and the results. So that’s why it’s very tough to call because we don’t know that. And that’s why we stay in the 30% to 40% range. And we still have, if you would add it all up, in a way, 4,000 people that are not working. And so this is – and we want to bring them all back ideally, if possible. But we need to sell our way into it. So that’s what – that’s our first priority, not having 50% recovery ratio and firing colleagues.
Operator: The next question comes from the line of Konrad Zomer from ABN AMRO. Please go ahead.
Konrad Zomer: Good morning. Henry and Jacques, just one question. I think you did remarkably well on the cost savings in Q2. Organic operating expenses down 17% on organic revenue decline of 25%. Do you think that gap could widen in Q3 given that you’ve given us the exit rates for your geographies and in most areas there is improving momentum? Because – and this relates a little bit to Marc’s question a minute ago. You’re now at this point where you might want to stop cutting costs as rigorously as you did in Q2 because you see the growth opportunities longer term.
Henry Schirmer: Yes. No, that’s obviously a very, very good and valid question, Konrad. So we feel we are in full control of our cost base, and the first priority for us is bringing people back in the jobs and grow. And yes, we have the ambition to also take market share along the way. And we would like to rebuild sustainably into portfolios, which are more resilient even than they’ve been before. But at the same time, we are a very commercial organization. So that’s what I said, the job as a CFO in that company is relatively easy because we have unbelievable experienced leadership teams who have always the end in mind. And so therefore, I think you can rely on us that we take the medicine where we have to. It’s probably not the time now to be, I don’t know, not really focused. So we put everything, what I said, to make the boat faster or to build resilient portfolios. But we will keep that in mind, and we will definitely manage for both. With priority sales and then a very, very healthy profitability. But yes, it secures the future of the company, frankly.
Operator: The next question comes from the line of George Gregory from Exane. Please go ahead.
George Gregory: Good morning, Jacques. Good morning, Henry. I had just one quick follow-up on the gross margin. You talked about some of the moving parts and the puts and takes on the temp business. As we move forward through the year and perhaps into next year, could we expect price pressure to build in the temp business as furlough schemes unwind as that sort of implicit capacity in the market builds? And what offsets are there to that, please?
Henry Schirmer: Yes. So just for me quickly, then, Jacques, you might chip in. So there’s two things. So pre-COVID, we – obviously, we benefited actually from pricing power because it was a very, very scarce market. We had good access to talent. And therefore, we could command pricing with – maybe going forward, higher unemployment, that pricing power might go down a little bit. And therefore, there might be also pressure on salary levels, et cetera, et cetera. I don’t know. But time to fill is a total different thing. So therefore, our productivity levels should go up. And in addition to that, what we call, the digital version of ABFS, I do expect actually a good counterweight to that. How it really plays out remains to be seen. It’s very, very hard to say. But those are the two big things. And then obviously, there is mix at play a lot. We try to grow or accelerate our growth in those places where margin is probably above company margin, et cetera, et cetera. So those are the things in general terms, I’d like to mention.
Jacques van den Broek: Yes. So one thing to add to that. Certainly, in our Inhouse business, so it’s always about cost. So we are urging and we’re reaching out to our clients with proactive proposals to bring down their costs. We know their processes really well. The core of this business is to improve the productivity of the labor day higher and also the processes around that. So we do expect a lot of demand from our clients, which we had already offered, but not all of them took it, to digitize further. And therefore, back to Henry, productivity goes up, client pays us less. Our productivity goes up. So that’s sort of a sweet spot. So we’re trying to take it as proactively as we can. At the same time, if a good client comes up to us with a relatively low margin, but we can serve them very effectively, we’ll, of course, do that. But then also, you know the drill, we’re never going to take loss-making business just to get revenue. It’s always striking the balance. And then the last one is credit check. Yes, we beefed that up. So, so far, so good. Also in 2009, that was good, but you never know. So sometimes, it’s very tempting to have a big client. And there’s a lot of temps, but the credit check is not okay. So we are really very rigorous on those procedures.
Operator: [Operator Instructions] And the next question comes from the line of Sylvia Barker from JPMorgan. Please go ahead.
Sylvia Barker: Good morning, everyone. Three quick ones, please. Could you give us the split of the €45 million of government scheme help by country or at least kind of the bigger constituents of that? Then you talked about kind of share gains quite a lot. Could you maybe be more specific around kind of countries? Are there any particular markets in which maybe some of your competitors are struggling and you’re able to gain share? And then finally, could you just remind us your exposure to SMEs in your largest markets, please? Thank you.
Henry Schirmer: Yes. Thanks, Sylvia. So I’m afraid I’m – if you allow me, not to give you a very detailed split, just a bit more color. So we talk mostly about U.S., France, Netherlands, Germany, Belgium, Italy, Spain and UK. And then there’s a whole raft of smaller countries, including Canada, et cetera, et cetera. Maybe the three biggest is France, Netherlands and Belgium. Maybe Spain is a fourth one in absolute terms. So that’s about what I like to give away at this point in time. Hope you understand.
Operator: We have a follow-up, my apologies. Please continue.
Henry Schirmer: So there was a second part on...
Jacques van den Broek: Market share.
Henry Schirmer: Market share, yes.
Jacques van den Broek: And SMEs.
Henry Schirmer: Sorry? And maybe on market shares, do you like to take that?
Jacques van den Broek: Yes. We – well, what we know for sure is France, Belgium. We’re pretty solid about our IT numbers in the U.S. Japan, we don’t know. Very happy with the performance, but market numbers are not there yet. Germany, we’ve taken market share already quite a while, certainly compared to peers. But of course, they’ve got easier comps now. So that’s, going forward, tough to tell. Happy with our Professionals performance in the Netherlands. Yes, that’s a bit of the rundown. Spain, we don’t know yet. Italy has been taking market share, so it might be a bit less now, but still. So it’s a good mix.
Sylvia Barker: Okay, thank you. And just on SMEs? Relatively large, I guess, in Germany, but if you can give us any color.
Jacques van den Broek: No, no, because we don’t know because the market numbers don’t drill down there. Germany is relatively weak in terms of info on market share development.
Sylvia Barker: I’m sorry, I just meant kind of SMEs as a proportion of your customers, whether they’re material.
Jacques van den Broek: Yes. Well, in Germany, that has increased in the last five, six years. Of course, probably also now, I’ve not checked it recently, but yes, the big ones have gone down, too, in the automotive. So that’s almost a given. And certainly, if we talk about, again, this reinventing ABFS, we cover a larger part of the market because if people can do four times more in terms of commercials, they can also cover a bigger database. And although Germany is a big country for us, we have less than 10% market share as market leader. So there’s a lot of ground to be covered in the family SME-type business. So that is definitely a target for us in terms of sales.
Operator: We have a follow-up question now from the line of Anvesh Agrawal from Morgan Stanley. Please go ahead.
Anvesh Agrawal: Sorry. Just one follow-up and slightly technical one on the tax rate. Your peers are guiding to a higher tax rate because of how the revenues are taxed in France. But your tax rate seems – has not gone up. So is that just an accounting difference because you are on IFRS versus peers on U.S. GAAP? Or you got higher sort of operating losses that you can monetize to offset the tax impact?
Jacques van den Broek: Anvesh, I hear all the good stuff. So this is Henry.
Henry Schirmer: Look, you’ve seen – as far as cash tax is concerned, quarter two was actually a receipt, and we’ve seen it already in quarter one because we overpaid taxes there. Actually, the expected effective tax rate for the full year is expected to go up just by nature of the expected income before tax actually is going down. Therefore, there is some tax elements in there, which are pretty stable. So therefore then, the rate is shooting up. But more than happy to – if you call us, really take you through all the things to detail you ever want to know.
Operator: We have no further questions in the queue. So Jacques, I will hand back to you.
Jacques van den Broek: Yes. Thank you, Rosie. Thanks, ladies and gentlemen, for calling in. I’m more for excitement. I think that’s the beauty about this business, but I am hoping for Q3, which is slightly less eventful. At the same time, all stay healthy. I wish you a great holiday wherever you’re going and hope to see you at our Q3 numbers. Thank you.
Henry Schirmer: Thank you so much, everybody.
Operator: Thank you for joining today’s conference. You may now disconnect your lines. Thank you.